Operator: Good day, ladies and gentlemen. And welcome to MELA Sciences First Quarter Earnings call. At this time, all participants are in a listen-only mode. Later, we’ll conduct the question-and-answer session and instructions will follow at that time. (Operator Instructions) As a reminder this conference is being recorded. This presentation includes forward-looking statements within the meaning of the Securities Litigation Reform Act of 1995. These statements include but are not limited to our plan, objectives, expectations and intentions and other statements that contain words such as expect, contemplate, anticipate, plan, intent, believe, assume, predict and variations and such words or similar expression that predict or indicate future events or trends or that do not relate to historical matters. These statements are based on our current beliefs or expectations and are inherently subject to significant known and unknown uncertainties and changes in circumstances, many of which are beyond our control. There can be no assurance that our beliefs or expectations will be achieved. Actual results may differ materially from our beliefs or expectations due to financial, economic, business, competitive, market, regulatory and political factors or conditions affecting the company and the medical device industry in general, as well as more specific risks and uncertainties facing the company such as those set forth in its reports on Forms 10-Q and 10-K filed with the U.S. Securities and Exchange Commission. Factors that might cause such a difference include whether MelaFind achieves market acceptance or become commercially viable. Given the uncertainties affecting companies in the medical device or industry such as Company, any or all of these forward-looking statements may prove to be incorrect. Therefore, you should not rely on any such factors or forward-looking statements. The Company urges you to carefully review and consider the disclosures found in its filings with the SEC, which are available at www.sec.gov and www.melasciences.com. I would now turn the call over to Joseph Gulfo, President, and CEO of MELA Sciences. Please go ahead.
Joseph V. Gulfo: Thank you, Good afternoon and thank you for joining us for MELA Sciences first quarter 2013 conference call. We have now completed our first year on the market having begun our controlled, deliberate, staged product launch in March of 2012. I am pleased to report that we’ve established a significant and steadily growing base of customers throughout the U.S. and Germany and have begun shifting our focus to system usage, which is key to sustainable business success. We continue to hear from MelaFind dermatologists about the positive clinical experiences and benefits that they are having. As many of you know, MelaFind is our breakthrough non-invasive and objective automated point of care system for use when a dermatologist chooses to obtain additional information for a decision to biopsy clinically atypical pigmented skin lesions with one or more clinical or historical characteristics of melanoma. On today’s call, I am going to give a brief overview of our first quarter accomplishments and then turn the call over to Richard Steinhart, our Chief Financial Officer for a review of the financials and then open up the call for questions. Cutting to the chase, the first quarter was our best to-date with recognized revenues of $144,000 and accumulated deferred revenues of approximately $392,000. Most importantly, usage revenue as a percentage of recognized revenue was 36.2%, up from 24.6% in the fourth quarter. We ended the quarter with 138 signed user agreements, 126 of which were installed and 12 pending installation. We had over 140 customers that are either evaluating the user agreement or that we consider highly interested and were actively considering acquiring MelaFind. When we launched MelaFind, the first-of-a-kind game changer a product from melanoma detection, we estimated that we would sign up dermatologists for 275 system placements before achieving significant national footprint. Although we fell short of that estimate, we achieved a significant national U.S. footprint after just 12 months on the market. In fact, we have placed MelaFind systems within 75 miles of over 63% of the U.S. population. This was a critical goal of phase one that now enables us to commence phase two of our launch that is significant PR and efficient advertising efforts to drive patient awareness to facilitate and great the augment system usage. We learned quite a bit in the first 12 months that gives us great confidence for the next 12 months. One of the things we learned is that the manner and quality of system placements are critical success factors. We moved to a strategy of selecting practices that will establish a total office commitment from the start. And more intensive practice initiation and training is taking hold as we continue to see more substantial utilization from the outset, which grows with time. We will continue this practice moving forward. Importantly, we successfully raised capital in the first quarter, strengthening our balance sheet so that we can focus on building our business, strategic marketing efforts and increasing utilization in the field. Eight significant achievements in the first quarter include; one, very successful American Academy of dermatology meeting, during which a poster on new MelaFind data was presented. MelaFind data were highlighted at 10 podium presentations as well. We experienced tremendous traffic at our exhibit with over 650 dermatologists engaging us to learn more about MelaFind, 350 of whom received in depth demonstration lasting 10 to 15 minutes on average. We also hosted 10 meetings at our exhibit between media and key opinion leading dermatologists, which resulted in placement commitment from three of the top five professional trade magazines, three of the top 10 women’s interest health magazines and one of the top three health websites. Two, we had a very successful meeting in Frankfurt, Germany with 76 in-depth demonstrations lasting 15 minutes on average. The conducted a MelaFind workshop during this major meeting that featured two MelaFind presentations from key opinion leaders. 110 dermatologists attended the workshop. Three, also in the quarter, we find an extended supply agreement with Scion for MelaFind hand held unit replaced in 2013. Four, usage across all customers is similar to that observed in the fourth quarter. However, we have observed increased rates organically by several practices. And in general usage from the day of placement is higher. One practice in particular, has used MelaFind an average of twice per day, every week day over the four month since the installation. His dermatologist told us that she is convinced that constitutes the best medicine that she can offer patient and we are working with her to optimize the integration of Melafind throughout her practice at her request. Many other customers have made similar requests and we are beginning to work with them. Our dermatologist customers continue to tell us that their patients are increasingly presenting to their practices asking about MelaFind and identifying dermatologist who have MelaFind from the MelaFinder. Our dermatologist locator tool that is found on melafind.com. Five, we established dermatologist customers in Belgium, Austria and Switzerland. Six, we secured national broadcast appearances and discussions of MelaFind on three of the top five television networks which included CBS this morning, The View and (inaudible). As well as aired regional media broadcast in 26 regional market, 11 of which were in the top 20 dermatology markets. These broadcasts showcased new dermatologists adapting MelaFind into their practices. Seven, with several clinical success story this time I’ll highlight several from Germany. Two melanomas were found during the MelaFind lecture to 15 patients at a new MelaFind dermatologists (inaudible) office. 12 of the patients agreed to have MelaFind used during their examination. In other case, the patient who was reluctant to have a lesion on the lower abdomen biopsy, the MelaFind result helped the dermatologist convince the patient of the necessity for biopsy and the lesion was in fact a melanoma. Eight, the roll-out of two additional pricing models to increase patient access and simplicity for the practices, which I will now explain in greater detail. As you know, we launched – we can still offer the per session model for all which we charge $50 for up to five lesions per patient session in full analysis mode. The $50 also includes five special mode evaluation and 10 clinical camera uses. We are now offering in addition to the per session model a collision model, which we have developed at the request of many customers and after we observed that the average number of lesions per patient analyze in the per session model was approximately 2 lesions. We have already seen a meaningful increase in the number of patients upon whom MelaFind is used in practices that have switched to the per lesion model. We charge $12.50 per lesion and we assume that on average two lesions per patient will be examined. This elevates the dermatologist concern about charging the patient outwards of $100 to only analyze one or two lesions. Many customers did not want to switch from the per session model. These are practices that have determined the price point of an entire MelaFind session that their patient base is comfortable paying. All customers have flexibility to modify the model choice in the future if they want. The third model is a fixed monthly fee for unlimited use per month which we are discussing with several health systems and March integrated practices. Also in the first quarter we have begun to switch customers away from our physical medium or card to an electronic medium. This is my simplest of customers who no longer needed separate card for each patient and much more economical for us, because it eliminates our disposable clause. Practices are built in a rears based on usage, they submit payment at the end of each month in order to receive an electronic code that enables the system to operate for the next month. We feel that being flexible and responsive to the dermatologist temptation is always a good practice. And we believe that the flexibility offered by the new pricing model will help dermatologists use MelaFind optimally and facilitate greater practice wise usage as we now focus on this as our main goal in year two. I’ll now turn the call over to Rich Steinhart our Chief Financial Officer.
Richard I. Steinhart: Good afternoon and thank you Joseph. I want to start by setting the context of our first quarter 2013 results, compared with our first quarter 2012 results. Remember the first quarter of 2012 was our initial quarter with MelaFind on the market. We’ve just started the commercial operation by placing a handful of unit in March of last year. Fully two thirds of last year’s first quarter results we recorded as if we were still a Research and Development company. This is the last full quarter in which we need to make adjustments for direct comparison purposes. Beginning in March of 2012, we re-aligned expenses to properly reflect commercial operation and that continued with this approach. Total invoicing to our customers in the three months ending March 31, 2013 was approximately $244,000, resulting in about $144,000 of revenue being recognized. An increase of approximately $89000 in deferred revenue reported as of March 31. Total deferred revenue at March 31, 2013 rose to approximately $392,000, this is compared to $28,000 in invoicing, $11,000 of recognized revenue and $17,000 of deferred revenue for the same period in 2012. Just a reminder about recognized and deferred revenue, as we had discussed many times in the past, we established contracts with multiple elements of delivery and must defer a significant portion of our placement fee despite the fact that we generally do receive the entire cash payment on installation, as a result deferred revenues reflect the time recognition of the installation fee revenue over the term of the user agreement, which is usually two years. Correspondingly the cost of revenue was $1.80 million compared to $130,000 in the same period in 2012. The current quarter represents the full three months of commercial activity including three months of depreciation for nearly all 126 MelaFind systems installed in the field. Research and development expenses for the first quarter were $1.3 million versus $2.4 million reported in the same period last year. The decrease in research and development expenses is primarily attributable to the realignment of certain expenses that properly reflect commercial operations and reduce research and development expenses at our contact manufacturer, Askion, in Germany. Selling, general and administrative expenses were $4.3 million for the first quarter 2013, versus $3.2 million recorded in the same period last year. Virtually the entire $1 million increase is the result of increased marketing and sales expenses in both the U.S. and Germany. For example the company we had 26 people in marketing and sales during the first quarter of 2013 and 70 for the same function in the same period in 2012. The overwhelming majority of field base sales and practice support people. Our net loss for the first quarter 2013 was approximately $6.5 million, a loss of $0.17 per share versus a reported net loss in the first quarter of 2012 of $5.8 million, a loss of $0.19 per share. As of the end of the first quarter 2013, the company’s cash and cash equivalents were $21.6 million. During the first quarter, we were successful in raising capital to strengthen our balance sheet. Even so we continue to be focused on expense control. We constantly looked to balance in each with invest and building our market opportunity with a strong focus on controlling cash expenditures. I’ll now turn the call back to Joseph for concluding remarks and then we’ll open up for questioning.
Joseph V. Gulfo:
. : The practices that have signed up for the event have made their patients aware of this through various marketing campaign, and we have created a special webpage listing the practices that which the MelaFind program is available. May 1 also signifies the kickoff to the2013 sun season where skin care, beauty and wellness campaign are heavily concentrated on skin cancer awareness. We have been very focused on getting MelaFnd a high level of exposure during this prominent time in the media in order to drive patients into their dermatologist office asking about MelaFind. We recently became aware of a patient who visited a very well known MelaFind dermatologist. She was in the office for a cosmetic procedure. The dermatologist decided to use MelaFind on a questionable lesion. And after viewing the MelaFind output decides form of biopsy. Results came back that the lesion was a melanoma in situ; a very early stage melanoma. And the dermatologist was able to remove the melanoma and its entirety leaving the patient cancer free. The patient was relieved to find out not only that the dermatologist caught her melanoma when it was in its more curable stage. But that she’d only be subject to a small little scar instead of a large scar that could be the result of the melanoma getting any deeper. This patient was willing to tell her MelaFind story on camera and this would air on major television network the first week of May. You may have seen already and you’ll continue to see throughout the next few months, some of the many articles and editorials about MelaFind, a magazine including Self Prevention Red Book and the (inaudible). Collectively, MelaFind will appear in 14 of the top 20 women’s interest/beauty/health magazine resulting in approximately $21.6 million impressions over the next couple of month. There will be other nationally targeted efforts to drive patients into dermatologist offices via radio news releases and consumer related articles appearing in suburban and community newspapers, as well as daily papers in the top 100 markets. These efforts will start appearing in May and proceed through June and July thus continuing the MelaFind message throughout the sun season. Additionally, we have executed in-market effort in key region to generate awareness of MelaFind from a broadcast, print and social media perspective. In May, we will be launching a targeted patient campaign on WebMD, the number one source for consumers and patients seeking out information when forming opinions on wellness matters and making decisions about what actions they will take to improve their everyday health. Our campaign is designed to be response driven across targeted areas of our website that will expose MelaFind to engage patients and guarantee that they connect with www.melafind.com patients in just one click. We expect 2.6 million impressions for the duration of the three month program. Also in May, we’ll be exhibiting at the German Society of Dermatologists Meeting in Dresden, Germany. We’ll also be conducting a MelaFind workshop at that DDG meeting. We believe that the external patient awareness effort combined with the in-office education programs and practice integration protocol that are currently being implemented will significantly change the complexion of our business in the second and third quarters. The critical objectives for the next six months are to call patients to action to seek out more information about melanoma and skin health and ask their dermatologists about MelaFind. We have great confidence in our plan and believe that successes will be demonstrably seen at many practices. Word of mouth, peer to peer education and sharing of best practices will also continue to accelerate the patient usage and drive our business throughout the year and beyond. With respect to what you can expect over the next 12 months, we envision ending 2013 placing additional systems at practices that will have more robust usage from the date of install in the U.S., Germany and neighboring countries. We expect revenues increasing in a choppy, but generally, upward sloping fashion with the usage revenue increasing as a percentage of recognize revenue and actually exceeding placement revenue. As we have discussed, the success of our business resides in system usage, which we are now focusing on intently. I would like to illustrate what usage means for our business. On a per system basis, including all-in cost for manufacturing, shipping and training, usage under six lesions, that is only three patients, each with two lesions on average per week day at $12.50 per lesion is more than enough to achieve break-even on an all–in system cost basis over a two year period. Six patients on average per week day on the per lesion model or 12 lesions result in break-even within 12 months of a placement, and 18 lesions or 9 patients on average per week day gets us to break-even in eight months. We have several customers who are using MelaFind upward to some of those levels on their active MelaFind days currently. So we believe that this level of average use per weekday is within reach as we now roll out tactics design to augment usage. Said another way, under the per lesion model, if MelaFind were used on two patients per weekday across just 200 systems, we would see five times the monthly revenue run rate that we observed in the first quarter. This would represent an impressively positive trend. It also demonstrates the leverage and promise of the per use model. Interestingly one of customers has been using MelaFind at this level per weekday to since the day she obtained it. She told us that she considers MelaFind a standard of care and wants this instituted more widely. Another goal by the end of 2013 is to significantly reduce our manufacturing costs, further improving margin. We have several functioning prototypes and significant progress is being made. In conclusion, we are pleased with the manner in which our plans are becoming reality. We remain committed to our goals of changing this terrible disease and building a robust and successful business. We are confident in our people and the power of our strategic plan and we continue to execute with passion and purpose. Lastly, as many of you maybe aware, Monday of next week is now Melanoma Monday. We will be at NASDAQ with two leading dermatologist to our MelaFind customer to ring the opening bell. We will follow that with an investor and analyst briefing from 10 am to 11 am at which the clinicians will talk about their experience incorporating MelaFind into their practices and answer the questions from investment community. If you’re interested in attending, please email Lynn Pieper at lynn.pieper@westwicke.com. Her full contact information can be also found in our press release. We will now open the call for questions.
Operator: (Operator Instructions) Our first question comes from Josh Jennings with Cowen and Company. Your line is open.
Josh Jennings – Cowen and Company: Hi, good evening gentlemen. Thanks a lot.
Unidentified Company Representative: Hi, Josh.
Josh Jennings – Cowen and Company: How are you guys doing?
Unidentified Company Representative: Great.
Josh Jennings – Cowen and Company: First question is just in terms of – I don’t know if I missed it at the beginning part of the call, so excuse me Joe, if you went over this, but in terms of the timing of installs from the timing of the signed agreement, can you just walk us through the steps in terms of the average time it takes for signed agreement to the installation?
Richard I. Steinhart: It’s taking longer lately because we need to schedule versus the entire practice. Initially we would have that done in two weeks. Now, it maybe taking four weeks, maybe a little bit more because we want that total practice commitment and we want the whole staff there. We also install, the way we initiate the commercial – the customer is that we’ve been are with them for at least two days. And we encourage them to schedule patients, though we need more time for their marketing programs to their patients to start scheduling patients to come in for our initiation process. So they typically line up a good number of patients, while we are there with that and that’s that full infringement process. And then, they are commercial being build daily. So Josh, in moving away from what we are doing as we needed to build the medical evidence that the product was doing everything we say it does – in the commercial setting when we get the 25 free cards and moving away from that and doing an intensive introduction over a couple of a period, the lead time from signing a contract to activating a customer has grown longer, however with much better results. They are using it at a higher level from day one and we are generating revenues from it from day three basically.
Josh Jennings – Cowen and Company: Great. In terms of 138 MelaFind systems that you have under signed user agreement currently. What are the expectations for having them installed?
Unidentified Company Representative: No there were 12 outstanding…
Josh Jennings – Cowen and Company: At quarter end?
Unidentified Company Representative: At quarter end, gotcha, I mean I could put and find out they have all been installed here but they get installed quickly.
Josh Jennings – Cowen and Company: So I miss that after the other mid (inaudible) you installed 126 for?
Unidentified Company Representative: We had 126 installed on March 31, 12 pending installations and again I don’t have the numbers handy, but I would be surprised if those all them having been installed yet.
Josh Jennings – Cowen and Company: This is 126 MelaFind systems probably I missed the introductory of the call?
Unidentified Company Representative: Yeah.
Josh Jennings – Cowen and Company: That seeing the 138 signed user agreements.
Unidentified Company Representative: Yeah, let me just check my numbers please but get precise here. 138 and 126 were in the fields 12 pending installation as of March 31, okay.
Josh Jennings – Cowen and Company: Okay, and then if you look at your backlog right now is about 140 to the target that you have that you are in close contact with in terms of potentially signing these agreements.
Unidentified Company Representative: These are practices that we have regular contact with next meeting we show up they come to the booth again typically that’s received and signed after they have been talking to us for a while but yes these are practices many have an agreement, did they got in that periods, they are talking to their partners about it, others just indicate that day one and they are thinking about it more in timing and discussion.
Josh Jennings – Cowen and Company: And can you just comment on the backlog of the [Tetra] customers where that’s been and where you are now, especially since March in AAD and some other meetings you’ve attended this year.
Joseph V. Gulfo: Well, it’s growing. More and more people are hearing about MelaFind, coming over and listening to it and requesting information and then requesting visits and then engaging with the sales reps in activity. So that list is growing and most of the impacts that come from people on that list every now and then, there is a sporadic person who comes along, got to have it. Now the other reason that – we’re being more selective, okay. So we are talking to doctors about telling them we want your whole practice committed to this. We want to start working with your practice marketing people and advanced level of training and things like that. So, no longer can a lone [wolf] partner for to grab the MelaFind. It takes. We then got to go in and meet the other partner and the other partners rather and what not. But we really believe that pays off really being more selective. We’re not saying no. We’re saying we’re not – we need to engage the whole practice first. So that’s also part of it.
Josh Jennings – Cowen and Company: You commented that if you under the per lesion model if you’re treating two patients a day with two lesions each being evaluated by the MelaFind then you see as a five incremental uptick in the revenue run rates seen in Q1. Do you think you can get there by the end of this year? When we can get there in terms of that level of utilization?
Joseph V. Gulfo: Well, we’re certainly going to try I mean that’s what we’re in the middle of now and it’s what – we’re still happy to have that national footprint, which is the main qualitative goal of the year. So that we could now take advantage of the (inaudible) we wanted to be able to go national with all of this PR and the other things that I just went though detail of. So that we can really, really change the complexion of the business and that have to produce it. So yes moving on average every one to two use this per week day, right and for the whole month that certainly our goal and we’re hitting it extremely higher at right now, but we can’t hit it hard right now, because again we have that national footprint.
Operator: Our next question comes from Greg Chodaczek with First Analysis. Your line is open.
Greg Chodaczek – First Analysis Securities Corporation: Thanks good afternoon guys. Just a couple quickies, can you explain the difference from these are my terms not your terms, but a power user term from a term that’s barely using it, what are they doing differently is it a client, is it a location. I’m just trying to figure out why there such a different.
Unidentified Company Representative: Okay. I never practice (inaudible) never use it, why the price was so low and he still iron. He just had to have the latest technology. Right, so at some point I’m going to asking peers back, because I want to put it was someone who really going to use it a lot, right. So that’s a one extreme. The other extreme I don’t want to be given [add] to me a numbers over here, but we’ve had a few practices recently using it a tremendous amount and I want to watch those numbers continue. We’ve not seen that before. We’ve not seen people using it a lot and then tapering off, but before I start talking about a couple of few power uses, I want to be careful. So the most experienced user, a guy from Germany, he is using it. Yeah, I don’t want to quote numbers, but…
Greg Chodaczek – First Analysis Securities Corporation: You don’t have a quote numbers, but I’m just trying to figure out how is that derm selling at much better than the derm?
Unidentified Company Representative: Oh yes that we have definite evidence and pick up during the back when practices use most, no ones is using all the tools we’re giving, when they’re using tools we give them, they get significant usage off of that. So we have, I know of a practice that mails out the tear sheet that I’ve shown everyone that I meet with to all several thousand patients. They have a MelaFind introduction on the hold, when you’re on hold, the hold music. They offer full body exams with MelaFind to the patients when they check in. And no surprise, they’re using MelaFind a lot, okay. I think I told this story last time at Bears repeating, and again, I think I want to just give a general point here, we are now focused, now that we have the national footprint, we are now focused on making all of these tactics happen, okay, and also having the patients time for it and even asking for it. So we haven’t done things to really drive the usage, now we’re focusing on it. So that’s why I’m quite excited. But I remember a practice that I went down to myself, there was a big media, first day I went down and the examine was slow and I put up one of our posters. And they did that, we did the TV segment why not. And then I remember going back a couple of months later, because they did a lot of patients, they’ve got their technology results back, we went back down and they quote a number of melanoma and we have gone through that. And then I started talking about, okay, now they were convinced and they wanted to implement it widely in their practice. And I told them some of these techniques and one of doctors who she made the point that she runs to examine the one, okay. And the examine with the MelaFind poster is the patient they have to MelaFind. And you examine whether MelaFind poster isn’t nobody after MelaFind. So, sometimes it’s that simple, but it’s sometimes that simple. Other doctors, we have others, we have a doctor in particular came up to meeting, she is convinced she has been enough that this is in her words standard of care, I want to use this, I need help with my staff. So we’re now as part of this now push, right, we’re going to go and hope with the steps. So sometimes we are hearings that there is, we expected this and some other practice integration stuff. Other times it come on, we got to meet this with the half way put up the posters, right. So we’re going to be addressing all of this now very, very aggressively frequently at the invitation of the doctors. And even while we not invited, we’re going to be in there and really making sure these tactics are in place. So the next, certainly this quarter and next quarter, I think we’re going to see a very, very significant changes of complexion, and I’ll be able to answer your question even more about, which tactics are working best actually.
Greg Chodaczek – First Analysis Securities Corporation: And so we should be able to see, when did you start doing that, beginning of this quarter or is it something that’s implementing over this quarter. So we will see a little bit of that in next quarter’s numbers, but more of it in Q3 not that you are giving guidance, I’m just asking the question.
Unidentified Company Representative: And so, this is – that’s why I used the word organically in my script, that before doing things we actually started seeing some [doctor], and I think it’s a better selection and I think it’s a commitment from minute one. So, we are certainly doing some, but this intense effort, I just talked to you about where timing then for kick off on melanoma Monday.
Greg Chodaczek – First Analysis Securities Corporation: Okay, that’s fair.
Unidentified Company Representative: Yeah
Greg Chodaczek – First Analysis Securities Corporation: And then do you truly need a doctor to have an ah ha moment to push this on their patients. It is a tool that helps them, I know everyone wants to make money do they truly need something that help them diagnose a patient, what do you say, you know I need to use this more appropriately.
Unidentified Company Representative: I think by and large we. I know of a practice, the guy is using it and he is not charging his patients yet. He wants to a mast his own clinical experience with it before he starts charging. I think he is close. So, that’s an extreme with someone pleased to doing his own clinical trial, but yeah, Greg I really believe he took a Hippocratic overview in MD. You’ve got to be convinced you are helping your patients. And that was this whole real first year was about getting the proof if you will in the commercial setting that MelaFind is performing the way the clinical study said it was. And so I believe it is going to be less than less of that, Missouri type attitude, show myself, but it is certainly there. Guys I think it should be. I actually think it should be. I encourage that.
Greg Chodaczek – First Analysis Securities Corporation: And are the power users, the $50 users are they the ones.
Joseph V. Gulfo: It’s actually a mix.
Greg Chodaczek – First Analysis Securities Corporation: Okay.
Joseph V. Gulfo: Where we stay tuned more on that? I had a commercialization deal, do you think it’s a mix?
Unidentified Company Representative: Yeah, it’s a mix.
Joseph V. Gulfo: Yeah. right now, it’s a mix.
Greg Chodaczek – First Analysis Securities Corporation: Okay. and if I look at the placements or the installs, I want to make sure I get the right term here. The installs from what you did in Q1 2013, compared to Q4 2012 based on my numbers that went down a little bit, is that strictly because you’re being more choosy and the lengthened time for installation has changed based on what?
Richard I. Steinhart: Yes.
Greg Chodaczek – First Analysis Securities Corporation: You have found?
Richard I. Steinhart: Yes. once we got national, we were not placed to a number. Okay, so we wanted always do it right for the business. And what’s right for the business is that more selectivity and it’s actually right. Yeah, the placements went down, but the quality of the placements was vastly different.
Greg Chodaczek – First Analysis Securities Corporation: And I’m not looking for numbers going forward, but there’s based on having 26 sales reps there is only a certain amount you can do every quarter based on being selective?
Joseph V. Gulfo: We don’t have 26 reps by the way, so…
Greg Chodaczek – First Analysis Securities Corporation: 26 reps on sales.
Joseph V. Gulfo: Yeah, sales and marketing.
Richard I. Steinhart: Yeah, right sales and marketing and technology as a support, Greg. It’s not just sales.
Joseph V. Gulfo: Right. So we have eight territory managers, six practice support managers, looking at 14 in the U.S. and three technical basically installers in the U.S. So that’s 17 people, and then in Germany I’d say five. And then there are a couple of people here in the office in the marketing group as well. So it’s not just feels and customer service (inaudible). Now, what I expect is that as this campaign show success, the people we already have on the line, we’ll be the next being selected, will be the next customers. So, I think success is going to be get success.
Operator: Our next question comes from Scott Redmond with Redmond Asset. Your line is open.
Scott Redmond – Redmond Asset Management: Hi. I was wondering as people go through the educational process, how do they know that they’re getting better diagnosing melanomas?
Unidentified Company Representative: With MelaFind?
Scott Redmond – Redmond Asset Management: No, I mean just, first your medical student is probably going to do worse than a dermatology resident. I mean, is there a way to track their skill in that aspect of medicine as they improve?
Unidentified Company Representative: The only way to do that is to do a study, right. So, I think they have an movement when they maybe do a biopsy and then they surprised that was a melanoma and they’re shocked and like well, I better biopsy more. I think you hear that, you hear that from doctors out there. One measure that doctors do talk about is what is their biopsy ratio, right. So the ratio of biopsy’s formed to melanoma they find refine, that’s really an efficiently organize that speak nothing to whether or not they’re missing melanoma. So, it’s not easy to measure what they are doing so often when they have a melanoma. That they find and they realize they examine in that region a year-ago, they get worried and they realized they got a lower than threshold, so it’s more empirical and in an average resident sees only 12-early stage melanoma shows entire residency So, they don’t get much feedback.
Operator: And I’m currently showing no further questions at this time, I’ll now turn the call back over to management for further remarks.
Joseph V. Gulfo: Okay, so thank you, operator. So having achieved in the first year many things, many learning’s, we know what the optimal way to install system, we responded to the customers and most important now having a significant national platform, we can do what we always knew we needed to really drive the business. And, so we are very, very excited to start this effort in extremely well time with the melanoma Monday activities and we encourage you to stay close and watch. And, I expect that big things to happen. So, thank you very much.
Operator: Thank you, ladies and gentlemen that does conclude today’s conference. You may all disconnect and have a wonderful day.